Operator: Greetings and welcome to the Equity Commonwealth First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Sarah Byrnes, Vice President of Investor Relations. Thank you, Ms. Byrnes, you may begin.
Sarah Byrnes: Thank you, Chris. Good morning and thank you for joining us to discuss Equity Commonwealth's results for the quarter ended March 31, 2016. Our speakers today are David Helfand, our President and CEO; Adam Markman, CFO; and David Weinberg, our COO. Please be advised that certain matters discussed during this conference call may constitute forward-looking statements within the meaning of Federal Securities Laws. We refer you to the documents that we filed from time-to-time with the SEC, which refer to risk factors that could adversely affect the company's operating results and financial condition. The company assumes no obligation to update or supplement any statements made today that become untrue because of subsequent events or otherwise. Today's remarks also include certain non-GAAP financial measures. Please refer to yesterday's press release announcing our results for a reconciliation of these non-GAAP performance measures to our GAAP financial results, which is available on our web site. With that, I will turn the call over to David Helfand.
David Helfand: Thank you, Sarah. Good morning, thanks for joining us. I’ll provide a summary of the first quarter’s results; address the progress of our asset management and disposition efforts and touch on the use of proceeds from asset sales. There has been understandable concern lately about macro-economic conditions and capital market volatility and their influence on the real estate market. Dislocation in the debt markets and sagging equity prices were on everyone’s mind late last year and early in 2016. Since then, we’ve seen a significant rebound, with the debt markets regaining some stability and credit spreads taking across the board. Equities have rallied as well with the S&P up 13% and the RMS 19% since their mid-February lows. Against this backdrop the team at Equity Commonwealth continues to successfully execute on our business plan. This quarters leasing activity totaled 1.9 million square feet on a same property basis, the highest in five quarters. Leased occupancy decreased 80 basis points compared to fourth quarter 2015 to 91.4%, largely due to tenant downsizes. Rental rates declined 1.3% on a cash basis and increased 11.2% on a GAAP basis. Our leasing efforts were driven by strong renewal activity during the quarter. On the disposition front, during the first quarter we sold three office properties totaling 857,000 square feet for $122.6 million, including the Executive Park in Suburban Atlanta, which we discussed last quarter; the properties redevelopment opportunity that was sold for $50.9 million. We also sold 3330 North Washington, a small building in Arlington, Virginia for $11.3 million. The property was 15% leased and generated negative NOI at the time of sale. In addition, we sold 111 East Kilbourn Avenue, a 374,000 square foot office building in Milwaukee for $60.5 million. At the time of sale, the building was 81% leased and pricing was in the high 5% cap rate. We sold completed the sale of two properties that were held for sale at the end of the first quarter. The first of these was 778 Unit, self-storage facility in Honolulu for $29 million. Pricing was in the high 3% cap rate. We also closed on the sale of 1525 Locust Street, a 98,000 square foot office building in Philadelphia for $17.7 million. The property was 95% leased and pricing was in the low 7% cap rate. Sales completed year-to-date totaled $169 million and in total since taking responsibility of the company in 2014, we’ve completed $3.1 billion in disposition activity and have paid down debt by $1.4 million. In April, we entered into a contract to sell the lease hold interest in 111 River Street, a 566,000 square foot, 100% leased property in Hoboken, New Jersey for $235 million. Pricing is in the mid-6% cap rate. Closing is subject to the receipt of consents required under the ground lease and other customary conditions. Including 111 River Street, we currently have 27 properties totaling approximately 9 million square feet in various stages of the sale process. 14 are non-office properties totaling 2.8 million square feet including vineyards, movie theaters and a number of our industrial properties. The balance 13 assets comprising 6.2 million square feet are office properties. We continue to view the current market as an attractive environment for asset sales. Cap rates are at or near historic lows and buyers are consistently willing to underwrite growth. Despite volatility in the CMBS market, the overall availability in pricing of debt capital remains accommodated. We have approximately $1.7 million or $14 per share of cash. We continue to evaluate all capital allocation options and putting acquisitions, share repurchases, debt repayment and distributions. We’ve made significant strides repositioning the company. We will continue to focus on intensive asset management and our disposition plan, and in an effort to maximize the value of the company and position ourselves for future growth opportunities. With that, I’ll turn the call over to Adam.
Adam Markman: Thanks David, good morning. I’ll review our financial results and provide some additional commentary on the balance sheet. In general, it was a quiet quarter that was in line with our expectations. Diluted FFO for the quarter was $0.30 per share compared to $0.50 a year ago. Normalized FFO was $0.29 per share compared to $0.55 last year. FFO and normalized FFO decreased primarily due to the $2.2 billion in assets that were sold over the comparative periods. A slight decreased in same property cash NOI also contributed to the decline, but was more than offset by interest expense savings generated by the repayment of $624 million of debt. Specifically, same-property cash NOI decreased 3.8% when compared to the first quarter of last year. Approximately half of the decline comes from lower cash rental income from previously disclosed move-outs. Higher expenses generally related to increased real estate taxes are responsible for the rest of the decline. GAAP NOI was up 2.5% from a year ago, largely due to straight line rent from recent leasing activity. And due to the lag between lease signing and occupancy, approximately 700,000 square feet of recently executed new leases are not reflected in the first quarter’s earnings. Most of this newly leased square footage will take occupancy later in 2016. Because of free rent these leases will not generate cash revenues until late this year and early 2017. Year-to-date we’ve sold $169 million of properties. Lease dispositions generated a modest tax gain, which may be offset by our net operating loss carry forward. Whether our 2016 common distribution will be required is highly dependent on the amount of gains if any generated from future disposition activity. Turing to the balance sheet, during the quarter we prepaid at par, the $139.1 million of 6.25% senior unsecured notes that were due in August 2016. Subsequent to quarter-end, we called our $275 million, 7.25% Series E preferred shares. The preferred share redemption will be completed on May 16. We remained focus on financial flexibility and we intend to operate within the general parameter of a BBB unsecured debt rating. We have $461 million of debt that is pre-payable at par in December 2016. The weighted average coupon of these liabilities is 6%. As David mentioned, our cash balance at quarter-end was approximately $1.7 billion or $14 per share. In addition to debt repayments we are analyzing other uses of proceeds including new investment opportunities and distributions. We also will continue to opportunistically utilize share buybacks. We’ve repurchased approximately 984,000 shares in 2016 and 4.4 million shares for $113 million since the buyback program began last August. We have an additional $237 million authorized for share repurchases. Our balance sheet is strong and we have significant liquidity with $2.5 billion in capacity between our cash balance and undrawn revolver. We are well positioned for future opportunities. With that I will turn the call over to David Weinberg.
David Weinberg : Thank you, Adam. And good morning everyone. I will begin by reviewing our first quarter leasing activity, then I will summarize the performance of some of our properties in our largest markets and provide color on our lease role in 2016 and 2017. And our same property portfolio during the first quarter we signed 1.9 million square feet of leases including 284,000 square feet of new leases and 1.6 million square feet of renewals. Rental rates declined 1.3% on a cash basis and increased 11.2% on a GAAP basis. As announced on our last call, our largest renewal this quarter was the 15 year extension of Carmike Cinemas, a 550,000 square foot tenant occupying six theaters. Our largest new deal was a 134,000 square foot expansion at 600 West Chicago. Turning to our largest markets, Bellevue absorbed 95,000 square feet this quarter, but its vacancy rate climbed to 12.3% with the delivery of the first of three new office buildings. We anticipate Bellevue’s vacancy rate will be higher when another 1 million square feet of office space is delivered towards the end of this year. As we have previously said, despite the supply risk, we like Bellevue long-term in the two assets we own. 333 108th Avenue, Expedia’s headquarters is a 100% leased, 20-story 440,000 square foot tower that was built in 2008 and is competitive with new construction. During the first quarter, we extended Expedia’s 427,000 square foot lease for 14 months, it now expires December 31, 2019, which gives us three years between the delivery of the remaining supply and Expedia’s lease expiration. Our other property in Bellevue is 96% leased, 257,000 square foot 10-story office building. It is well located across the street from Bellevue’s transit center. We recently enhanced the exterior of this property and were upgrading its entry way. In addition, while it is unlikely we will undertake a development ourselves, we are pursuing another 1.2 million square feet of entitlement at this property. In Denver, the CBD absorbed 180,000 square feet this quarter and its vacancy rate is 13.8%. Our largest property in Denver is 32-story, 672,000 square foot tower 17th Street Plaza. It is one of the city’s premier buildings located in the edge of load out [ph] at Denver’s strongest submarket. Since the end of the quarter, 35,000 square feet of space became vacant and a 70,000 square foot tenant will vacate in the first quarter of 2017. To get in front of these vacancies we have been investing in these assets, including building a new conference center and renovating the lobby. We believe these upgrades will help maintain the property’s competitive position relative to new construction. Austin continues to do well even in the phase of new supply. It absorbed 443,000 square feet and its vacancy rate is 10.1%. One of our largest assets in Austin is Bridgepoint Square, a 94% leased five building 440,000 square foot office park. This property is used as down town the lake in the Austin Country Club. We’ve begun the process of upgrading amenities and will be renovating lobby’s and common areas. We believe these upgrades will allow us to further push rents and better position the asset to compete with new supply. Chicago also continues to do well. The CBD absorbed 490,000 square feet, hence vacancy rate is 11.8%. In addition to 600 West Chicago, we own Triangle Plaza, a 632,000 square foot property near O’Hare Airport. This is one of the better assets in Chicago’s O’Hare submarket and is in walking distance of an L train stop. On site amenities included 10,000 square foot fitness center and an underground executive parking garage. Subsequent to quarter-end, we signed 100,000 square feet of leases increasing Triangle Plaza’s leased occupancy from 87% to 97%. Indianapolis’ vacancy rate is 17.5%. Chase Tower totals 1.1 million square feet and consistent with 48-story, Class A tower and a connected 12-story office building. This property is in the heart of the CBD across the Monument Circle and has a bank, fitness center, conference facility and underground parking. This week, we signed a 228,000 square foot lease with a new tenant. And as a result of this new lease and other activity and after taking into account space that JPMorgan Chase will give back to accommodate our new tenant, the property’s percent leased will increase from 82% to 89%. This is a significant lease in Indianapolis, which had a total of 220,000 square feet of net absorption in all of 2015. Philadelphia’s CBD continues to improve. The markets vacancy rate is 10.3% and has absorbed 109,000 square feet this quarter. 1735 Market, which is almost 1.3 square feet is one of the best buildings in this city. It has 260,000 square feet of vacant space and another 185,000 square feet will become available this month. To maintain this property’s position in the market, we are reviewing its amenity package, including looking at adding a tenant lounge, conference center and a roof top deck. During the second half of 2015, we signed 90,000 square feet of new leases at 1735 Market. In the first quarter of 2016, we signed 35,000 square feet of new leases. We are pleased with the leasing activity and interest to date. Finally, I’d like to comment on our lease role in 2016 and 2017. At year-end 2015, we reported over 2 million square feet of lease expirations in 2016. As of quarter end that number is 900,000 square feet, about one half of which we expect to get back. As previously discussed this includes FMC vacating 207,000 square feet of 1735 Market, of which 22,000 square feet has been backfilled and a 100,000 square foot tenant at an industrial building that will vacate. Looking ahead to 2017, we have 2 million square feet rolling. Of this amount, we recently renewed a 450,000 square foot industrial tenant, which leaves approximately 1.5 million square feet. The largest tenant expiring in 2017 is Truven Health Analytics. They occupy 173,000 square feet property in Ann Arbor and will be vacating next February. All the tenants rolling in 2017 are greater than 75,000 square feet. In the context of a 23 million square foot portfolio, this is a manageable amount of lease roll. We are in front of all these tenants and are actively working to address their needs. With that we will open it up to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of James Feldman from Bank of America Merrill Lynch. Please proceed with your question.
James Feldman: Great. Thank you, good morning. Can you guys talk a little more about the disposition market in the buyer pool and with the market volatility we saw during the quarter, where there any changes versus the prior six months?
David Weinberg: Hi Jamie, it’s David Weinberg. I think as David said in his opening remarks if you go to the end of 2015 and the beginning of this year, there was a lot of concern about where the capital marks were headed, it cost some buyers, perhaps it hit the pause button, and things were relatively choppy. Since then, things have settled down. I’d say in terms of what we’re seeing and what we’re executing on overall, our dispositions have been in line with our expectations and we still believe it’s a good time to be a seller.
James Feldman: Okay, but any change in cap rates or capital availability, like anything you are seeing that might change some of the pricing?
David Weinberg : It’s hard for us to compare what we’re selling today, given some of the unique absence we have in the market like the cinemas, the vineyards, and some of our industrial buildings, but I’d say overall, what we’re seeing is still a lot of interest and by any historical measure, very good pricing and we’re being pleased with the execution.
James Feldman: Okay. And then you had mentioned 13 more office buildings for sale, 6.2 million square feet. As you think about the buildings that are going to be left after that, any change to how you think about the markets you want to be in longer term or might be in longer term based on both operating conditions you’ve seen so far and then the sales you’ve teed up?
David Weinberg: I don’t think there has been a change in our position. As we’ve said before, there are certain markets we like, more than others, we’ve always been very bullish on Bellevue, Austin, Denver. There are other markets that we think have some good momentum, perhaps we’re a little over exposed in them. When it comes down to what we’re always evaluating the individual asset in the context of the broader market. And we may find even in the better markets that there are some assets that we think the value is being created. It’s a good time to harvest them and we may sell down our position. But overall, I don’t think our perspective has changed.
James Feldman: And are there any of the markets – you’ve mentioned that you’re getting more worried about supply?
David Weinberg : Well, no I think as I said on the last call, the invisible hand works. The market where we’ve been seeing a lot of absorption, Bellevue, Austin and Denver is also where we are seeing the most supply, having said that, looking to market like Austin, it is still performing very well. Bellevue is obviously the poster child given the amount of supply coming online in a little over an 8 million square foot market, but we still like to have markets fundamentals and long-term prospects.
James Feldman: Okay. Alright. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Jed Reagan from Green Street Advisors. Please proceed with your question.
Jed Reagan: Good morning guys. You’ve got another 8 million or 9 million square feet or so of new assets on the market right now, which looks like it might be about a third of your remaining portfolio. Could you sell all that and finish higher than $1 billion in sale this year, do you still feel comfortable with the prior disposition guidance range?
David Weinberg : Good morning Jed. It may be that if all the deals close we would be in excess of the $3 billion, but there is no assurance that we’ll get all of them done, and we’ll get pricing that is acceptable.
Jed Reagan: If you do close all of them, this order of magnitude, is that a significant percentage increase over the $3 billion or the – kind of get you pretty close?
David Weinberg : It would be a modest increase.
Jed Reagan: Okay, got it. Thank you. When we look at your 1Q cash releasing spread, how representative do you feel like that is for the overall portfolio where in place rent is sitting relative to overall?
David Helfand: Hey Jed, it’s David. I would be careful to draw any big conclusions based on one quarter’s numbers. As we’ve said, we think our in place rents are slightly below market, and the leasing results this past quarter are heavily influenced by a couple large leases, notably Carmike and Expedia.
Jed Reagan: Okay, thanks. And just last one if I may, looking at Austin and Bellevue, are you seeing any signs of tech market uncertainty impacting tenant demand in those markets?
David Helfand: I haven’t heard anything in those markets specifically, nor are we seeing it. But we’re, I guess we’re in the fortunate position that our asset in Bellevue that we’re currently leasing is well located B assets, it caters a smaller tenants, and then in Austin, we’ve got a very nice diverse portfolio where we haven’t seen any impact of that noise.
Jed Reagan: Okay. Thanks for the color.
Operator: Our next question comes from the line of Emmanuel Korchman from Citi. Please proceed with your question.
Emmanuel Korchman: Good morning everyone. If we just think about sort of market share or having significance in a market, if we think about your sale in Philadelphia this quarter, there has been recent press on 1,500 market being on the for-sale market, how do you think about selling partial – I’ll call it partial stakes in the city and the remaining of the city versus complete exits?
Adam Markman: Emmanuel, it’s Adam. I think as we’ve said all along in this process, we’re opportunistic and in the case of 1,500, which as you mentioned has been in the press quite a bit lately, that’s a property where we think we have through the leasing activity really matured that property and it is now at a place where – there is not a whole lot of upside left, and it’s right for disposition. As we’ve continued to sell down the portfolio, Philadelphia is a more and more meaningful piece of what we have and so it’s logical from our perspective to try and mitigate some of that heavy reliance on that one market.
Emmanuel Korchman: Great. If we can turn to sort of the more, I’ll call non-strategic assets for now, I don’t know how you guys wanted to find them, the industrial, the movie theaters, vineyards, et cetera, I think we’ve been surprised that we haven’t seen sort of quicker sales of those types of assets. Has there been an element of you trying to lease them up or lack of interest or pricing has not matched, why weren’t – I guess the question is why weren’t those the first assets to go rather than being sort of in the last plan?
David Helfand: Hey Emmanuel, it’s David. I think that’s a good question. And I think the answer is consistent with what we’ve said, which is we’re always looking at opportunities to create value. Take for example the self-storage in Hawaii, it would have been very easy to sell that a couple of years ago when we took over, but when we – what we saw was something that was poorly managed, it was trailing the market both in terms of rate and occupancy, often both. Had a very bad receivable balance and there were lot of storage units occupied by non-rent paying tenants. So instead of just selling it as it, we assigned a young guy [indiscernible] to go to Hawaii, for a year and a half multiple trips he cleaned up the asset, he was able to double the NOI in about a year, and then we were able to sell off that story, right, because people could extrapolate the growth. It’s a same type of thing we’re trying to do with our non-strategic assets across the portfolio. Carmike, another example, we could have sold it would we had about a year and a half on the lease, instead we held it, re-worked it and now we have a 15 year old lease. So those are the things we’re trying to do.
Emmanuel Korchman: I’m sure he was very disappointed to have to go over to Hawaii.
David Helfand: Few volunteers.
Michael Bilerman: It’s Michael Bilerman speaking, I had a question on sort of strategic alternatives, M&A, you have the Cousin’s Parkway deal get announced last week, and clearly there are parts of both of those portfolios and what’s remaining in the EQC portfolio in terms of assets, but hell of lot of cash that may have been attractive in that scenario. So could you sort of talk about how you looked at that process, those companies were going down and whether that was at all attracted to you about a potential transaction?
Adam Markman: Well, this is Adam. It’s the kind of transaction that we’ve been looking at, as you could imagine, when these things in the work, we tend to have an opportunity to be in the mix and in that specific case there is really two components, pricing and markets and we want participant given those factors. But I think interesting thing is the structure there and we’re hopeful that other kinds of opportunities like that may emerge in the future.
Michael Bilerman: Also you sort of view it as a way to – that your entity either using the cash or that the seller could use effectively the cash in a way too?
Adam Markman: That’s right.
Michael Bilerman: Okay. Thank you.
Operator: Our next question comes from the line of John Guinee with Stifel. Please proceed with your question.
John Guinee: Great, great. Thank you. Adam, I’m just doing a quick back of the envelope and if you are successful in selling this 9 million square feet, it looks like about 1.3 billion of proceeds, which would leave roughly 14 million square feet, let’s say that’s worth $200 a foot, that’s about $2.8 billion of real estate, and after you pay down the – debt you can pay down between now and the end of the year, you have roughly, and this is sort of a year-end snap shot, you have about $1.1 billion debt, also $120 million of preferred shares, and about $2.3 billion of cash. Do those numbers sound reasonable?
Adam Markman: I’m not going to give you specific comments on the valuation, but we’ve provided good information in terms of the debt, you’re making an assumption that all of that will be repaid, it may not, it may be refinanced, part of what we’ve described as available for repayment at par is a note that we’ve swapped from floating to fixed and swap goes away in December would allow us to pay it off, but it’s not due at that time. There is a lot of variables there. But order of magnitude in terms of the exercise that you’re doing, it’s logical.
David Helfand: Good morning, John, it’s David. Without commenting on the accuracy that sounds like a really interesting company.
John Guinee: It does sound like a very interesting company, it sounds like great segue David, thank you. Sounds like a company, very low levers, lot of cash, elephant hunting clearly. The issue is that if you look at these low barrier public REITs out there, they all probably really like their real estate more than you like their real estate. They all really like their jobs and therefore it’s really like their annuities and you guys are really disciplined investors I’m assuming, how do you bridge that gap?
David Helfand: Who says we do, I wouldn’t say that we’re necessarily looking at low barrier opportunities. We’re looking at opportunities, where we think we can create value long term and it may be that we have to be patient to avail ourselves of that type of opportunity.
John Guinee: Great. Thank you very much. Keep up the good work.
David Helfand: Thank you.
Operator: [Operator Instructions] Our next question is a follow-up from Emmanuel Korchman of Citi. Please proceed with your question.
Emmanuel Korchman: So just, David, going back to the comment you just made about finding those – or unlocking those opportunities, help us understand how a company that has a more centralized team, less people out in the field, a third-party property management, sort of unlocks those – what would have to be wrong or broken within an asset that the owners themselves wouldn’t be pulling all those same levers, that they’re not going to CBRE and saying lease this for us, so how do you sort of unleash your creativity on that asset given your structure and the property management structure.
David Helfand: Yeah, appreciate the question. I think your focus on CB is just off the mark, CB is property management agent for us, has nothing to do with our sourcing of opportunities, and what I can tell you is this building 2 North has successfully over the past three decades invested in a tremendous number of opportunities where there is some fundamental opportunity to create value that we believe on a risk adjusted basis were paid for taking risk and can apply the talents of the team to some situation that has a repositioning, opportunities, value creation, I think what we’ve done in the past two years is evidence of this team’s ability to do that. So I’m not worried about being centralized, the fact is all of the equity companies are situated here at 2 North that doesn’t change our reach or our ability to find opportunity. And I think for us we just need to be patient in the environment we’re in given pricing and I think we are being opportunistic by selling assets at a price what we think they’re worth, creating capacity and the key is to continue to aggressively look for opportunity and then sort of dive in where it makes sense.
Emmanuel Korchman: Sorry for rephrasing the question. I meant more on the opportunity side of what you’re seeing to buy. So no doubt you guys have unlocked value what you own. I mean you are going out there and you’re bidding on an asset, you’re looking to find an asset that is either undermanaged, under leased, undervalued in some other way, somebody doesn’t realize they’re sitting on a land that’s more valuable than it is, it has to be one of those types of scenarios. What makes you I guess more effective than, a, the current owner or, b, that competitive set of other people out there that have, maybe less cash than you, but a similar probably cost or cost of equity or desired return as you?
Adam Markman: This is Adam, I’ll try and answer the question, maybe from a different way, I hope it’s helpful. But when I think about that question, I guess I get comfort from a couple of things. One is, our capital structure, right. Clearly, we have an ability with the cash and liquidity to do something that’s significant and to do it quickly. And I think we combine that with our infrastructure, with the team that we’ve built, which together are what we believe will take us to the future, to the opportunities that you’re talking about. And I would layer in the equity companies, Sam and his reputation and our ability over many, many decades to find opportunity. And I guess, finally, just from where I see, from where I sit, there is nothing that happens out there that people don’t call us and talk about given those characteristics that I just mentioned.
Emmanuel Korchman: Thanks Adam.
Operator: And our next question comes from the line of Mitch Germain from JMP Securities. Please proceed with your questions.
Mitch Germain: Hi, good morning guys. And I apologize if this is asked, I missed some of the commentary before. Are there any dividend implications that you need to – that you need to consider now that you’ve got this queue of sales out there?
Adam Markman: Yeah, we touched on it briefly in prepared remarks, I will try and give a little more color. We entered the year with a net operating loss carry forward, we generated a little bit of taxable gain through the dispositions that have been completed year-to-date in 2016, but still the NOL would be sufficient to shelter those gains. And then, as we move forward through the year, it will be very highly dependent on which specific assets are actually sold and which we continue to own.
Mitch Germain: And then, when do you or the board – when do you guys start to consider a more recurring element to the dividend on a forward basis?
Adam Markman: I think we’ve described for example in our annual shareholder letter, this context of being mid-stream in this process. We’re transforming this company and the asset sales are a part of it, what we’ve done on the operations and leasing side or a part of it. You’re seeing some of that happening and you will continue to see it, but until we’re done with that process, the recurring dividend is probably not something that we’ll be in a great position to address.
Mitch Germain : Thank you. Good quarter.
David Helfand: Thank you.
Operator: And our next question is a follow-up from James Feldman of Bank of America. Please proceed with your question.
James Feldman: Can you talk about the closest that you’ve come to actually putting capital to work in investment acquisitions?
Adam Markman: No. I’m not sure what the point of that is.
James Feldman: Okay. I was just seeing kind of what the delta was between actually putting capital to work and underwriting some opportunities that looks interesting.
David Helfand: I guess we’ve – our actions speak pretty loudly, which is we’re continuing to aggressively sell in this market and when that’s the environment from our perspective it’s difficult to aggressively be buying.
James Feldman: Okay. That’s fair. Thanks.
Operator: There are no further questions in the queue at this time. I will turn the conference back over to management for any closing remarks.
David Helfand: Thank you for joining us today. We appreciate your interest in Equity Commonwealth and we’ll see you in June in New York. Thanks.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. We thank you for your time and participation today. You may disconnect your lines at this time and have a wonderful rest of your day.